Operator: Good morning, ladies and gentlemen and welcome to the Paya Holdings Inc. Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Mr. Matt Humphries, Head of Investor Relations at Paya. You may begin.
Matt Humphries: Good morning, and welcome to the Paya third quarter 2021 earnings conference call. Before we begin, let me remind everyone that today’s discussion will contain forward-looking statements based on our current assumptions, expectations and beliefs, including financial guidance, the growth of Paya’s business, our objectives and business strategies, as well as other forward-looking statements. Please refer to the disclosure at the end of the Company’s earnings press release and Form 8-K filed with the SEC today for information about forward-looking statements that will be made or discussed on this call. All statements made today reflect our current expectations only and we undertake no obligation to update any statement to reflect the events that will occur after this call. You can learn more about the specific risk factors that could cause our actual results to differ materially from today’s discussion in the Risk Factors section of the Company’s Form 10-K filed with the SEC on March 8, 2021 and in subsequent periodic reports that the Company files with the SEC. Also during this call, we will discuss certain non-GAAP measures of our performance. GAAP to non-GAAP financial reconciliations and supplemental financial information are provided in the earnings press release. In the 8-K filed with the SEC. This call is also available via webcast. You can find all the information I have just described on the Investor Relations section of Paya’s website, including a supplemental third quarter 2021 presentation.  Now joining us on the call today are Paya’s CEO, Jeff Hack; and CFO, Glenn Renzulli. Following their prepared remarks, we will open the call to your questions. With that, let me turn the call over to Jeff.
Jeff Hack: Thank you, Matt. And good morning everyone. Thank you for joining us today, as we review Paya’s third quarter 2021 financial results and discuss highlights from the quarter. We delivered solid year-over-year growth across our KPIs. Payment volume grew 28% to a record $11.1 billion driven by card volume growth of 14% and ACH volume growth of 54%.  Total revenue grew 22% to $63 million, led by growth in card and ACH as well as a full quarter's contribution from Paragon. Gross profit grew 26% to $33 million and adjusted EBITDA grew 21% to $16.3 million. And compared to the same period in 2019 total revenue growth was 25% and adjusted EBITDA growth 34%. These results continue to demonstrate the inherent growth and leverage that we see in the business and in the markets and verticals that we serve. Glenn will review the key drivers of performance in the quarter and our full year expectation.  I'm now going to review what underpins these financial results and gives us confidence over the medium term. First is our ability to attract and find new partners and clients. We’ve recently find some great new software partners and ISVs within our growing b2b vertical. To our recently announced partnership with Paragon a leading software company focused on the construction and building industry, we are providing the commerce engine within their core software offering enabling payment acceptance while enhancing the operational and administrative processes within front and back offices of their clients.  We also recently partnered with Encompass Technologies, a leading cloud-based distribution ERP provider focused on the beverage industry. Key drivers of our win with Encompass were not only Paya’s integrated payments experience and customer support, but also the payment agnostic approach we take.  By offering a wide variety of payment types, including ACH, our solutions are able to support and enable growth across a diverse set of ISPs and merchants in industries where payment flexibility is a requirement, not an option. We're currently standing up the partnership and look forward to launching in the coming months.  I thought it would be useful to reference another partnership while early in its progression that helps to highlight our focus on expanding our addressable market, while embedding Paya within large scaled operating platforms on the front end of customer business processes. We’ve recently signed a new partnership with Orpheus [ph], a leading provider of digital invoicing solutions within the B2B vertical. This partnership allows Paya to bring our full suite of integrated payment capabilities to Orpheus business management software. The combined offering comes pre-integrated into Salesforce via Orpheus application and can enable ISPs who leverage Salesforce as their front end platform to quickly enable payment functionality, both card and ACH while expanding payment acceptance through such features as E-invoicing and text to pay.  This happens within the broader Salesforce ecosystem, allowing for reconciliation and reporting that centralized while giving a holistic and detailed view of all business and payment data for reporting and analytic uses. Also worth highlighting are the great results a new customer wins we are seeing within our government vertical. Specifically, through a large existing government software partner, we've signed multiple new contracts in the quarter with municipalities located primarily in the southern United States, including Florida, Mississippi, Tennessee and Texas.  The momentum we're seeing in our government vertical remains strong. And we'll look to continue to invest resources into growing this channel further through both organic and inorganic means. Win such as this set the stage for Payas future growth, especially within our integrated solutions -- that software led integrated commerce is the natural progression in the markets and verticals that we serve.  And while all of these wins are great to see, it's continuous innovation across our products and solutions that enhances our competitive positioning, expands our addressable market and enables Paya to win. Our focus on developing building and delivering value added enhancements and offerings to our flagship Paya Connect solution remains key to our future growth.  Notably, we delivered robust e-invoicing enhancements to meet the growing needs of our deeply integrated software partners, including our key integrations with Acumatica and Sage. The data we provide our partners and customers, which is a core part of integrated payments is vital to improving customers back office efficiency. As such, we strengthen the user experience with the release of new customer facing portals and reporting interfaces, providing modern, efficient and useful functionality in order to support our partners and customers as they grow. Our targeted middle market partners demand improved solutions which enabled the migration of their existing customers onto Paya’s platform quickly and seamlessly. Payas customer import services enable large software partners to migrate to Payas platform with little to no disruption of service, ensuring continuation of payment acceptance, including the secure and encrypted transfer of all card and ACH data.  Unlike migrations or conversions, which can render payment functionality unavailable for a period of days or weeks, Paya provides and supports a seamless implementation experience. This experience is highly valued in today's market, and critical to be able to launch partners quickly or transition new partners from legacy providers without disrupting their day-to-day operations.  As you may recall, we recently announced some key additions to Paya’s leadership team. Michele Shepard joined us recently as our Chief Commercial Officer. In this role, Michele is focused on the development and execution of forward thinking vertically tailored customer engagement strategies across sales, marketing and customer success. Michelle has a track record of success and high growth vertical software companies Insurity and Vertafore as well as at Gartner and we're excited to have her at Paya.  Additionally, we recently welcomed Balaji Devarasetty as our Chief Technology Officer. Balaji is focused on accelerating innovation at Paya through product and platform development, enabling us to extend our leadership with an integrated payment. Balaji’s deep expertise and track record includes technology leadership in both large scale integrated payments and fast growing digital commerce businesses.  Needless to say, we're excited to have both Michele and Balaji here at Paya leading our efforts to expand distribution of our innovative commerce solutions.  On capital allocation, our priorities have not changed. We remain focused on organic growth through the continued and ongoing investment into our people and solutions in order to extend our market leadership while expanding our addressable market. Strategic M&A continues to be a top priority for us as well and complements the organic growth profile of the business.  Our pipeline of acquisition opportunities remains robust, and our teams continue to proactively engage with opportunities across the markets and verticals we serve.  In summary, these recent updates demonstrate Payas continued momentum in high growth end markets, coupled with our continued investments in talent and technology to further accelerate our growth.  With that, I'll turn it over to Glenn to walk you through the financials. Glenn?
Glenn Renzulli: Thanks, Jeff. And good morning, everyone. We continue to see good momentum in key parts of the business specifically within integrated solutions and ACH. Total payment volume in the third quarter was $11.1 billion, an increase of 28 year-over-years.  Card volume grew 14% and ACH volume grew 54%, with ACH transactions growing 37%. Much of the momentum we're seeing in the business currently is through our B2B and government verticals across both card and ACH. Total revenue in the quarter was $63.1 million, an increase of 22% versus last year. Integrated Solutions revenue was $39.7 million up 31% led by the continued strength in our B2B and government verticals, combined with the incremental contribution from Paragon.  Payment services revenue was $23.4 million up 9% year-over-year with ACH revenue growing 24%. In the quarter, we saw two primary headwinds that attracted from our otherwise strong revenue growth. First in our healthcare vertical, which as you know, is primarily indexed to elective medical procedures. We saw slightly lower than expected payment volume. We attribute the slowdown to the rise of the Delta COVID-19 variant in the latter half of Q3. As consumers delayed or deferred elective procedures.  Second, one of our key partners slightly delayed the implementation and launch of certain solutions in the quarter. This is primarily a timing item, and we expect to see the implementation move forward in the coming periods. For the quarter gross profit was $32.6 million up 26% year-over-year with gross margin of 51.7%. Expanding 170 basis points from the prior year.  Integrated solutions gross profit of $20.1 million was up 24%. While Payment Services gross profit of $12.4 million was up 28%. Specific to the quarter we saw a certain faster growing Integrated Solutions partner scale much faster than forecast, which is a great leading indicator for the health of our partners and long-term trajectory of our business. However, given the higher revenue share component for this high growth partner, particularly as they move into larger revenue share tiers based on volume, it was modestly diluted to gross margin compared to prior quarter.  In addition, a full quarter impacted Paragon had a slight impact to our consolidated gross margin. Our ACH business continue to see strong growth and solid financial performance which was the primary driver of our large gross margin expansion within our payment services segment. ACH continues to be a key differentiator and strength for Paya.  Adjusted operating expenses came in at $16.2 million as we saw a full quarter of operating expenses related to our Paragon acquisition layer in.  Adjusted EBITA in the quarter was $16.3 million up 21% versus the prior year. Adjusted EBITDA margin declined 30 basis points year-over-year to 25.8%. Driven by some accelerated tech investment, as well as year-over-year increase in public company costs, which are not applicable while we were a private company in the third quarter of 2020.  Finally, GAAP net loss for the quarter was $3 million versus net income of $1.6 million in the prior year, driven largely by a change in tax method for how are in year tax liabilities accrued. Adjusted net income was $5.5 million in the quarter.  Regarding our balance sheet, at the end of the quarter, we had $133 million in cash and $250 million in gross debt, with a net leverage ratio slightly below 1.9 times. At the end of the third quarter our total liquidity is approximately $180 million and positioned as well as we focus on opportunities to accelerate our growth, both through organic and inorganic means. Net cash provided by operating activities in the quarter was approximately $8 million. And finally, our share count at the end of the third quarter was $132 million diluted shares outstanding inclusive of approximately 5.7 million earn-out shares that have not yet met issuance thresholds. Additionally, this figure includes 4.6 million shares that were issued in the third quarter to retire our outstanding public and private warrants.  As a result of these actions, we no longer have any public or private warrants in our capital structure, and our former public warrants have been delisted from trading. Our supplemental earnings presentation provided this morning contains an updated illustrative walkthrough of our share count at the end of the quarter.  Turning to our updated guidance for the full year 2021. We are reaffirming our revenue guidance range of $244 million to $248 million. We're also reaffirming our gross profit margin range of 52% to 53%. As we move towards the end of the year, we are refining our full year 2021 adjusted EBITDA expectations to a range of $64 million to $66 million. Our updated guidance reflects our current expectations for the balance of the year.  As a final point, we continue to monitor COVID-19 developments and the potential impacts that may or may not have on the business for the remainder of the year. That concludes my prepared remarks this morning. I'll turn the call back over to Jeff to close up the call. Jeff?
Jeff Hack: Thank you, Glenn. Our results for the quarter continue to reflect the growth we see in the key markets and verticals in which we operate through new wins continued penetration of existing customers, strengthen our ACH capabilities and strategic M&A opportunities we see, we are confident that the growth trajectory at Paya remains strong, and the near term actions we are taking to accelerate innovation, while adding exceptional talent will enhance and extend our competitive positioning while expanding our addressable market.  With that operator, we're ready to take questions.
Operator: [Operator instructions] Our first question comes from Bob Napoli with William Blair. Your line is open.
Bob Napoli : Thank you. Good morning, Jeff, Glenn, Matt. So just as you look at your business, Jeff, and think about next 2022 and longer term, and what is -- how do you feel about the momentum in the business the ability to achieve the targets that you -- the goals you had set out previously?  So how's the momentum? How's your confidence? Are you seeing anything, I mean, I call it out COVID, obviously, and rest of health care, but anything else concerning? 
Jeff Hack: Yes, thanks for the question, Bob. Good morning. What I would say is our view hasn't changed. Same strategy, same expectations of ourselves in the business, and doing everything we can to accelerate that momentum further, which really boils down to talent and technology. So very focused on execution.  But the momentum in the business, like what's the pipeline look like? And has the competitive environment changed, so what's the pipeline, the flow of new business, let's say versus a year ago. So we feel good about the pipeline. And the competitive environment exists. But very importantly, and I think you appreciate this. The people operate in different segments of the market. And as we've said to all of you before, we are very focused on core avenues like B2B municipal middle market business, which is not as competitively intensive. Everyone has competition, of course. So we feel good about momentum, and we feel good about our competitive hand. 
Bob Napoli: Thank you. Appreciate it. Go back in queue. 
Operator: Our next question comes from David Togut with Evercore ISI. Your line is open.
David Togut: Thank you very much. And good morning. Can you talk about your outlook for margins, both for the fourth quarter and 2022, you called out some additional public company expenses, a little bit of margin pressure, given higher revenue payout from a fast growing client. But adjusted OpEx grew 31% year-over-year, nine PPT faster than revenue. So how should we think about the outlook for gross and EBITDA margin for 4Q and 2022?
Glenn Renzulli: Hey, David, this is Glenn. Thanks for the question. Yes, look, I think just -- we've said it before. But just another reminder, right? X public company costs, we would have been up about high 20s 27% 28% and EBITDA for the quarter y-o-y. So that's part of the reason you're not seeing as much expansion this year, which starts obviously not impacting us as we get into the fourth quarter from a year-over-year perspective, at least.  I'll take the margin question in two parts one, gross margin. Yes, we definitely had some impact this quarter from a large partner, which -- we've had a lot of success with they continue to, but they hit one of their growth incentive bonuses, which gave them an incentive payout for this quarter, which was a little higher than we expected. That will even out a little bit as we get into the fourth quarter, as we look into next year. And we also had some impact with the full quarter from Paragon this quarter, as well.  So from a gross margin perspective for Q4, we do see it coming back up a little bit. We're not going to call the exact number obviously, because it's difficult to forecast exactly. But we -- it will be above kind of where we had, we believe in Q3 here. We do have some also some pricing initiatives and items that hit in the fourth quarter that give us a little bit of aid there. And you can kind of see in there our guidance as well for the full year from a gross margin perspective.  And then yes, from an OpEx and kind of below gross margin. Look, we, -- again the public company costs kind of washed out from a year-over-year perspective as we get through this quarter. And then yes, we're obviously, it's a tough environment from a cost perspective, when you think about hiring and some of the cost inflation that's out there. We certainly seen impact probably not as much impact as some others, that play in different spaces. But that comes into account a little bit with us as well.  And then yes, we're like Jeff said, we're very focused on our medium term objectives from a growth perspective. And a lot of that investment comes through technology and sales. So, we don't see any drastic increases right above trend, but at the same time, we're going to put money to work in technology and the go-to market side as much as we need to keep that top line growth going.  So, we're working on our planning for '22, at the moment that we're not going to comment too much on that. But from the fourth quarter perspective, we'll see probably a slight tick up from OpEx SG&A perspective book more or less than not too much different from where we've been trending last couple quarters here.
David Togut: Understood. Just to clarify. So when you think about your medium term to long term revenue and EBITDA growth model, you see changes in the growth model, given the cost inflation, that you've called out in terms of hiring and technology costs, or is the model intact when we think about 2022?
Glenn Renzulli: Yes, we speak about -- go ahead Jeff. 
Jeff Hack: Go ahead Glenn. 
Glenn Renzulli: I was just going to quickly say, I think we speak to the current year with our guidance. And then from a medium term perspective, we can speak to that way, but we're not going to cover '22 here, just because we're not done with our planning cycle. It doesn't really differ from the message I just gave as well.
David Togut: Got it.
Jeff Hack: David I'll just add this, at this point, and our medium term objectives are exactly the same as those that we set out for all of you originally last summer, when we were coming out as a public company, and then laid out again early in '21.
David Togut: Very clear, thank you. Just a quick final question. Can you quantify for us the impact on revenue from the delayed onboarding of the new client? I mean, do you have visibility as to when that client will convert either in Q4 or early 2022?
Glenn Renzulli: Yes, this is Glenn again, David, happy to give a little color there. Jeff, it's up to you. Do you want to?
Jeff Hack:  Go ahead, Glenn. 
Glenn Renzulli: I was going to say, so we're having success with this partner already. So this is not like a zero, or binary item, we're starting to get some traction with them. They have some different instances of their installed base from a software perspective, different versions. So we continue to work through the various versions of their install base that they have out there.  So there's a one that we continue to work on with them, continue to have great relationship and moving going forward. But some of these projects take a long -- lot a little bit longer than you'd hope. This one specifically is in like government side, which you have the partner component from an integration standpoint, but then you have also the merchant component, as far as the municipality itself.  So, yes, to answer your question, certainly had some impact this quarter. But at the end of the day, the relationship is strong, the path is still there. We're not going to comment like specifics as far as the dollars, but it did have some impact in the quarter. And we do see it as a positive item as we look for the next few quarters. As far as layering that in, but Jeff, I'm not sure if I had all the comments.
Jeff Hack: David, I would just add the following is signing large terrific new partners. Takes a lot of work to get them to full strength. And if it takes, and I've said this before, if it takes a few months longer to get full stride, that's okay. Because once you have them, they and the underlying customers are with you for an incredibly long time.
David Togut: Very clear. Thank you very much.
Operator: Thank you. Our next question comes from John Davis with Raymond James. Your line is open.
John Davis : Good morning, guys. Just wanted to call out the revenue impacts from TPG and Paragon, their core?
Glenn Renzulli: Hey JD, this is Glenn. I'll not say this probably; our revenue top line growth was about 12% organic. So that will give you a sense of the impact of those two.
John Davis: Okay, great. That kind of leads into my next question. So obviously, I think you called out some impacts from Delta, especially a lot of good health care that caused organic growth to decelerate, but I think the guy would assume that you do see a pickup in organic growth in the fourth quarter and I just wanted to confirm that. And also maybe any comments on seasonality in your business, I think we're shaping up 4Q is going to be higher, slightly on a dollar basis for revenue versus 3Q and then just want to understand make sure that's correct. And maybe, any seasonality, we should think about 3Q, 4Q in your business?
Jeff Hack: Yes, I'll pick that one. First. And yes, so from a Q4 perspective, we should see a slight tick up sequentially in the quarter, some of that is just how we end the year. But also, we do have some pricing initiatives that we do, I think, as you're aware, right, twice a year, of which one of those actions happens in the fourth quarter. So we'll see a slight tick up in the fourth quarter. But I think the message on the guidance is we feel comfortable kind of the midpoint of the revenue guidance for the year. And saying, from a gross margin perspective,
John Davis: Okay, and then just on gross margins, you talk to you hit on the kind of decline in the integrated margins, but at the same time, you saw a nice pickup in the payment services margins, or gross margin basis. So just is that sustainable going forward? Should we kind of expect payment services to be able to higher than it was before and integrated a little bit lower? Just I think that was the highest 53% I think the highest it's ever been in Payment Services? So just recall, that’d be helpful?
Glenn Renzulli: Yes, sure. So yeah, no, I mean the Payment Services gross margin, we think it's sustaining at around those levels. So I don't know if it accelerates from here, but we feel good about the level that it’s currently around. And, yes, from an integrated perspective, I think that will -- again, tough to call each quarter-to-quarter, but we feel good that we should see a tick up from kind of where it ended in Q3 to Q4 from an integrated perspective.
John Davis: Okay. And then just two quick last one a bigger picture for Jeff. First, are you and or any of your partners seen any issues from a supply chain perspective? I've heard some similar things from some of your peers potentially going into next year. So just curious comment there. And then maybe, Jeff, just talk a little bit about the acquisition pipeline from a -- where you focus evaluations starting to rationalize? Like, what's the biggest I'm going to call it hang up. But what's the biggest hurdle at this point to kind of being a little bit more active on the M&A front? Thanks guys.
Jeff Hack: Great. Good morning, JD. This is Jeff. So first on supply chain, I would say, we have observed anecdotes, but nothing that we would say defines a pattern. So not much to add there. In terms of the acquisition pipeline, a couple things. One, the pipeline is strong deals in various stages from early cultivation to later conversations as always, our criteria and our objectives are exactly the same, if they deepness into existing verticals and sub-verticals, with differentiated distribution or proprietary technology, that's great, adjacent verticals, and anything that widens or broadens the value chain.  In terms of your comment about valuations. Certainly, there have been examples of that, but I would not call that a broad based pattern neither. And if there's any impact on our thinking, on the margin, there are probably a few areas where we might choose to build out certain proprietary technology features, whereas maybe we would have acquired them before if the valuations in a particular category do not meet our criteria.
John Davis: Appreciate the color. Thanks guys. 
Operator: Thank you. Our next question comes from Tim Chiodo with Credit Suisse. Your line is open.
Timothy Chiodo: Great, thanks a lot for taking the question. Mine is on retention. So when we just think about the growth algorithm, part of that’s clearly kind of that same-store sales or retention type of metric. And you did say that in the slides that the volume retention is at about 95%. Actually, I think it's a little bit of a slight uptick from the last time you disclose that metric. Not that big one, but it did go in the right direction.  And I was just curious, what's the timeframe around that metric? Or if there's any just general context, you can talk around your volume retention, and then a quick follow-up on next year seasonality, which we can touch on?
Jeff Hack: So Tim, as you kindly pointed out, our retention numbers are terrific. And while they might move a tiny bit up or down in any given time period, we see that obviously isn't a key part of the growth algorithm, once you have great partners and great end customers, leveraging our integrated solutions. It's very sticky, it's very price insensitive. And it is core to the business.  So, in general, we think these are great KPIs and intend to maintain them, and perhaps find some ways on the margin to improve them further. 
Timothy Chiodo: Okay, excellent. 
Glenn Renzulli: And to…
Timothy Chiodo: Go ahead, please. 
Glenn Renzulli: I was just going to, yes come on the 95%. The time period is typically, it's about a year. So we look at a 12-month rolling perspective. And look, I think the attrition for us is pretty stable, it doesn't really move too much from year-over-year perspective, which is part of the strength of our business, integrated.  We're running a little bit from a net volume perspective over the 95% at the moment. But what we're trying to do is, normalize for same-store. So we're not trying to take any kind of a benefit from any kind of outside same-store sales growth, and that's why the squiggly lines on the page. So retentions, running well, from a net perspective. And obviously, that's the volume number with pricing and initiatives you get, much above that number from a revenue retention perspective. And then do you have another question.
Timothy Chiodo: Yes, it's a fully respect that this is not the time of giving 2022 guidance. But as we look at our models, I know that there were some moving parts this year last year, and also with different ramping of clients, would you be able to just give an overview, again, of what the expected seasonality would be from an absolute volume and revenue basis across Q1 to Q4 next year? Not the numbers, but just kind of directionally?
Jeff Hack: Yes, look, what we've said in the past, and you've seen in our number Q1 is typically our lowest quarter, constant dollars, looking at it that way. So -- and then Q2 tends to bump up and then Q3 tends to be about the same as Q2, sometimes slightly below, just because of the summer period. And then we get a little bit of a slight ramp in Q3 to Q4, typically. That's, again, constant dollars with no sequential growth assumed.
Timothy Chiodo: Okay, excellent. And then from there, we kind of think about this delayed implementation a little bit and how that might impact Q1, etcetera. But that's really helpful. Thank you.
Operator: Our next question comes from Peter Heckman with Da Davidson. Your line is open. 
Peter Heckman: Hey, good morning. Thanks for taking my call. Glenn on the unusual tax item in the quarter. Do you reference that in the prepared remarks? If not, what was that about? And it doesn't appear that you added it back in the proforma net income?
Glenn Renzulli: Yes, no, thanks for the question. So from a tax perspective, there's two methodologies that you can calculate your tax provision on. One is a kind of forecasted methodology, which we were using the first half of the year, and then we move to a year-to-date methodology in Q3 just because we thought it was a little more accurate than the forecasted method. And that was the larger adjustment this quarter, kind of to get to that year-to-date method for 2021.  So when you think about it, right to look at that year-to-date amount, versus the quarterly. I think that's probably the more accurate way to look at the tax expense for the current year 2021. And then for Q4, tax expense, which should be probably a little bit under a million in tax expense. And that will give you a sense for the tax impact for the full year.
Peter Heckman: Okay, that's helpful. And then just going back to Paragon and certainly looked like the acquisitions contributed a little bit more on a revenue perspective. And when we think about Paragon and their ramp and their integration, do we still expect that they can bump up to maybe 25% or so just an EBITDA margins and contribute more meaningfully to the overall EBITDA next year?
Jeff Hack: Yes, so, good morning, Pete its Jeff. I would say the answer is yes. We are very pleased with the pace of the Paragon integration. And in terms of existing customer’s growth of existing customer's pipeline of new customers, in terms of attribution because Paragon has become such an integral part of our integrated solutions business. It'll be harder to measure it in isolation, but we feel great about the acquisition, we feel great about it meeting our financial and strategic objectives. 
Peter Heckman: Okay, thank you.
Operator: Our next question comes from Andrew Jeffrey with Truist Securities. Your line is open. 
Andrew Jeffrey : Hi, good morning, guys. Appreciate you taking the question, kind of lots of moving parts here in your business, encouraging to hear about the momentum in B2B. Jeff timing not withstanding on a big customer. But I wonder if you could just speak to specific vertical markets, it sounds like maybe construction and manufacturing that are strong. And I wonder what the implications are going forward for mix. So we’re going to see this sort of continued elevated rate of ACH growth, recognizing that you signed a big customer at the end of last year?  And I think we know what that means for yield, but it suggests that maybe gross margin could trend sort of all else equal in the right direction, I'm just trying to think about as B2B grows fast, what that means overall for the kind of profitability profile of your business.
Jeff Hack : Good morning, Andrew. It's Jeff, thanks for the question. A couple things, first of all, we manage to the attractive growth momentum of each of the categories you outline, so whether it's B2B and manufacturing, distribution, logistics, supply chain, and so on. So, we don't spend a lot of time on mix, understand you guys want to model it and understand sensitivity. But it is how we maximize the growth of all of these key categories, specifically, the B2B categories that I just mentioned, are very attractive for what we do.  And the level of awareness and understanding of the power of integrated payments inside of business software continues to build. Some of that, obviously, thanks to COVID and distributed workforce, ACH more broadly, we are very pleased with the momentum we see there. And importantly, it is becoming far more common for it to operate alongside, typically commercial card, virtual card, etcetera, as a companion to expand the penetration into larger ticket transactions.  So both are key growth levers for this business. And I think the big call out on ACH is that a lot of it comes alongside card not instead of card to maximize the growth of the TAM? 
Andrew Jeffrey : Okay so, I guess over time, we might expect B2B to gravitate more toward card but it sounds like today, it's still an ACH centric, remittance business. Is that a reasonable characterization?
Jeff Hack : No. So Andrew, I would say it differently. It's not about them displacing one another there is great underlying growth in the category. And it is very common for cards for the smaller transactions and hundreds of dollars, ACH for larger tickets, think 1000s of dollars. So they operate in tandem, in penetrating and maximizing the growth of the category rather than toggling between them.  And importantly, at Paya, we've made big investments, both technically and commercially, single underwriting, common boarding, unified reporting. So you should expect we believe, for there to be a much higher prevalence of people who are accepting both payment methods alongside one another.
Andrew Jeffrey : All right, that's super helpful. Thank you. And then, as I think about Paya Connect in some of your investments. Is that more of a Do you think a new business driver in terms of how you differentiate for your ISV partners in vertical markets? Or can it also ultimately be a yield enhancer for you as you drive greater connect to some of that functionality? I think you mentioned e-invoicing in particular this quarter.
Jeff Hack : Yes, no, Andrew, great question. So first of all, Paya Connect, absolutely a driver of winning new business, it modern, flexible, cloud based and then very importantly, vertically tailored. So those very important words that I have said many times before, so that you can tailor the experience to the specific use cases in different vertical segments. So it is core to the value prop in terms of being a yield enhancer. What I would say is, you know, I'm not talking about the firm, wide yield as a whole, but in terms of maximizing your growth, maximizing your value prop, in terms of being a yield enhancer, what I would say is I am not talking about the firm live yield as a whole.  But in terms of maximizing your growth maximizing your value prop, enhance reporting, the capability to leverage data and analytics are all part of the value prop. And obviously, the stronger your value prop, the more you're able to price for that. So we think of that, frankly, as the foundation of the value prop.
Andrew Jeffrey: Okay, thank you.
Operator: Our next question comes from Joseph Vafi, with Canaccord your line is open.
Joseph Vafi : Hey, guys, good morning. Just a few more follow-ups here most lead already been a lot of good questions here. But I know you mentioned a partner in the southeast in public services where there's some good traction. If you look at other parts of the countries, is that ISV working in those other sections of the country? Or would you probably be looking for other partners in other parts of the country, relative to public service? And then I have a couple follow-up.
Jeff Hack : Yes. Good morning, Joseph. So the partner you're referring to does serve municipalities nationwide. So obviously, that is a great partner for Paya. We are obviously always talking to other partners, who may focus on different segments of the market, broader -- different geographies, et cetera. 
Joseph Vafi : Okay. And then, Jeff, I know you mentioned your ability to turn on payments, without for some of your partner’s apps not to kind of bring in the app down for any period of time or eliminating payment functionality. How competitive advantage do you think that is in the marketplace? So it sounds like a pretty good capability?
Jeff Hack : Yes, it's a great question. So first of all, obviously, we're very proud of that, and then poured and call out is that is not just a technical capability, which in and of itself is hard to accomplish. But it was also the operational maturity of the business to support the client through that migration. And we view that as a key differentiator at Paya. And I think, to be candid, sometimes often overlooked. And so as some of the existing integrated payments relationships explore more modern alternatives to legacy providers, this capability, I believe, will become even more important and more differentiated for companies like Paya.
Joseph Vafi: Right. And then I know you called out one of your partners who's integrated into Salesforce, if you look across your kind of your partner network at this point, how often do you see a partner that's integrated into another much, much larger ISD and the potential for you to get that kind of extra boost and distribution through that extra distribution layer? Thanks a lot.
Jeff Hack: Thanks. Great question. I think you described our strategy perfectly, we are getting more ad backs, we are getting bigger ad backs, as you know, more integrations to offer your customers is better. And there is also a flywheel effect here. Because as you add these integrations, and you widen your scope of capabilities, you get more ad backs, which leverage the investments you've already made, and our tools to help you grow even faster.
Joseph Vafi: Thanks, Jeff.
Jeff Hack: Thanks, Joseph.
Operator: Our next question comes from Mike Grondahl with Northland Securities. Your line is open.
Mike Grondahl: Hey, guys. Hey, just a quick question. It sounds like you have a new leader in sales. Any other adjustments or expansion of the Salesforce to call out?
Jeff Hack: Yes, great, great question. This is Jeff. So we -- one of the things I am most proud of, is our ability to attract some incredible talent and leaders to this company to help us accelerate our growth even further. So broadly speaking, I discussed Michelle and Balaji on the call, as you can imagine your go-to-market and your technical innovation are the foundation of this business.  Beyond that, we are always looking for great people in pockets to support our growth. But I wouldn't point to any one area and say that is the next big item, we are always looking for great talent to support the growth in all areas of the business.
Mike Grondahl: Fair. Okay. Thank you.
Operator: Our next question comes from Josh Siegler, with Cantor Fitzgeral with Cantor Fitzgerald, your line is open.
Josh Siegler : Hi, good morning. And thanks for taking my question. Firstly, how did average ticket size trend in three Q? And what are your expectations as we move into 4Q? 
Jeff Hack: Yes, so average ticket sizes, overall has trended up the last few years, few quarters. So we've seen a positive trend there. And we'll continue to, I think two parts there. One is, or a few parts, ACH is one. So the ACH growth typically is at a higher ticket. And then we've seen good, just macro growth and same-store growth as well, some of that's just the general economic environment, and then from an inflationary perspective us and others that have their revenue model based off spread benefit from that. So, yes we've seen a good trend there. Really, last few years? And, don't think that's going to change, as we look out? Great and thanks for the color there. And then what are some of the driving factors that will make you feel more comfortable to hit kind of the high end of guidance right now. That's a good question.  You know, it's, It's one of those things where the vertical matters, right, we talked about the health care item in Q3, right. So we'll see where that settled out in the quarter too early to tell at the moment. But that obviously, always could provide some upside. We spoke some of those delayed implementations 4 when you when we, you know, 20 goes on really make a difference. Windows go live, it really helps. Could be some upside there.  And then I’ll see October, kind of what the macro environment does. No surprises to date, which is good. But we'll see where we settle in for the rest of the within the next two months, as we exit the year. 
Josh Siegler: Great, thank you very much.
Operator: Our next question comes from James Faucette with Morgan Stanley, your line is open.
James Faucette: Thank you very much. Wanted to go back to question I think you like we, you kind of address it, but I miss your answer, to be honest, or what you said was how you're looking at the acquisition landscape, you guys have always been really good at finding deals. But there's been a lot of, obviously volatility both in in terms of valuation and lots of capital coming into the market generally. So, what are you thinking about in terms of pipeline and ability to convert etcetera?
Jeff Hack: Yes, good morning, James. Very important question. So our view of the landscape and by landscape, I mean, the kinds of companies that we are interested in bringing into Paya has not changed at all. And we feel good about our pipeline, we continue to get better at kind of broadening that pipeline. And remember, some relationships and deals come very quickly. Others are one to nurture over a period of time. So broadly speaking, we feel very good. And we are very focused on that as we should be.  To the comment on valuations, I'll reiterate something I said earlier, which is very important, is a few examples of head scratchers, but nothing that I would declare a pattern, it's obviously undeniable that there's been a lot of capital drawn into the category. And I think we would all appreciate that’s because these are great growth categories. So it's not a surprise that capital is being drawn there. But broadly speaking, we feel good about our ability to get deals done at valuations that are accretive to Paya financially and of course, strategically.  And then finally, on the margin, there are probably a few categories where if the valuations are unreasonable, we will choose some incremental building of technology features to fill those needs, whereas we might have otherwise purchased those capabilities. And one of the beauties of the strong financial position that Paya is in, is that we can do both. 
James Faucette: Got it? Got it. And then more broadly around capital allocation is our acquisitions what you think should be your primary use of capital right now or are you looking at other uses potentially, and kind of how you thinking about that more generally?
Jeff Hack: Yes, James, I'm glad you asked. I want to reiterate this, our capital allocation framework has not changed. Our two primary capital allocation priorities are investments in the organic growth of this business that typically boils down to people and or technology that is unchanged and we will drive All what we believe to be high ROI investments in the organic business. And we will do that enthusiastically.  The companion to that, as you pointed out, is M&A. and we do that also as a core part of the growth strategy of Paya. We are very proud the success of the deals we have done today. I would characterize us as disciplined, but enthusiastic buyers.
James Faucette: Got it. Got it. That's great. Thanks for your time this morning.
Operator: Thank you. Our next question comes from Bob Napoli with William Blair, your line is open.
Bob Napoli: Hi, thanks for the follow up, across you guys called out Paragon, during the quarter as a partner, I was hoping to maybe to, get some color on, maybe what the average customer can bring in revenue, like what the mix is? Do you have some customers that bring, I don't know, $500,000 a year in revenue, and what’s the average like we see you doing partnerships and adding customers? How we think about that is effecting. How should we think about, I.e. affecting the growth of the company?
Jeff Hack: Yeah, that’s a great question. So let me try to boil it down simply, is new partnerships come in, all shapes and sizes. So you can have an up and comers software partner, who is on their own growth trajectory, and the early revenue contribution of that partner may not be as large. But you like what they offer and what their growth trajectory is. The other end of the spectrum is larger, established players. In that case, we may or may not be their first integration partner, if we are not their first integration partner, that businesses is more predictable and knowable, and can come on faster. And then there are a lot of partners in the middle. So we don't manage to average partner size, we continue to get better and better at understanding the power and potential of partnerships of different sizes, and we pursue them with relatively equal enthusiasm.  Thanks, is there any fuel you could give for like some companies will give, like, we have eight customers with over a million dollars in revenue per year that is something like that, they just give us some feel for? 
Jeff Hack: Yeah so Bob, let give some thought to some incremental disclosure on that point. But nothing we specify at this point. Okay, like number of customers, or so we could come up with that would be, I think, would be really appreciated to be helpful. 
Glenn Renzulli: Yes, listen, I'll give you the broader point, as you now is, we talk about over 100,000, end businesses, sometimes known as merchants, who are leveraging our integrated payments capabilities across a strong roster of partners. So that is a number that we communicate and probably should update from time to time. 
Bob Napoli: Okay, thank you. Last question. 12% organic growth in the quarter, and I know, the focus is on, obviously accelerating growth, and you're bringing in more sales, talent, but does it take to accelerate the growth rate from the organic growth rate from current levels? And how confident are you that you could do that? 
Jeff Hack: So, what does it take, it takes a little bit of everything. So obviously, having the right salespeople supported by a great marketing engine, and terrific, what I'll call technical solutions, talent, those are all foundational and are all categories, right, for continuous improvement. And our intention, as you just pointed out, is to pull all of those levers to continue to notch up the top line growth profile of the business. 
Bob Napoli: Alright, got it.
Operator: Thank you. And I'm showing no further questions at this time, I like to turn the call back over to Jeff Hack for closing remarks.
Jeff Hack: Great, thank you, operator. Thanks, everybody for joining us this quarter. I think you can hear from the dialog in the color. We are very pleased with the progress Paya is making. And we look forward to continuing the dialogue with all of you. So thanks and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.